Operator: Thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the CuriosityStream's First Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Andrew Lata, Director of FP&A and Director of Investor Relations, you may begin your conference. 
Andrew Lata: Thank you. Welcome to CuriosityStream's discussion of its first quarter 2024 financial results. Leading the discussion today are Clint Stinchcomb, CuriosityStream's Chief Executive Officer; and Peter Westley, CuriosityStream's Chief Financial Officer. Following management's prepared remarks, we will be happy to take your questions. But first, I'll review the safe harbor statement. 
 During this call, we may make statements related to our business that are forward-looking statements under the federal securities laws. These statements are not guarantees of future performance, but rather are subject to a variety of risks, uncertainties and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. 
 Please be aware that any forward-looking statements reflect management's current views only, and the company undertakes no obligation to revise or update these statements or to make additional forward-looking statements in the future. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC website and on our Investor Relations website as well as the risks and other important factors discussed in today's press release. 
 Additional information will also be set forth in our quarterly report on Form 10-Q for the quarter ended March 31, 2024, when filed. In addition, reference will be made to non-GAAP financial measures. A reconciliation of these non-GAAP measures to comparable GAAP measures can be found on our website at investors.prositystream.com. Now I'll turn the call over to Clint. 
Clint Stinchcomb: Thank you very much, Andrew. I appreciate everyone joining us today for this milestone report. For the first quarter in company history, we achieved a positive quarter. We generated over $1 million in adjusted free cash flow in the first quarter, a year-over-year improvement of over $7 million. Our top line revenue was roughly equivalent to Q1 2023.
 We believe we are well positioned to improve upon both of these critical metrics in Q2. Q1, we increased our direct subscription revenue sequentially and year-over-year. In June, we will begin to benefit from the fact that all of our new subscribers in the United States will finally be under the new pricing we introduced last year. 
 In regard to partnerships, in Q1, we rolled out our subscription services with multinational global partners in 25 countries, and we added 7 new content licensing partners. With an eye toward greater cash flow, higher margins and overall revenue, we revised some of our PayTV agreements. While these revisions will result in a near-term revenue decrease in the bundled distribution category, we're confident that the midterm and long-term upside from these adjustments far outweighs the minor near-term decrease. 
 Moreover, we believe the current chaotic disruption where MVPDs are dropping legacy services and even entire network groups, along with their license fee entitlement demands creates some meaningful opportunities that we believe we are uniquely suited to help solve and leverage. As a reminder, we have channels operating around the world today. And from our deep and vast library, we are well equipped to create additional factual category channels in areas like science, space and natural history to meet distributor demand. 
 As an example of this, just last week, Samsung announced that they will launch 3 of our Hispanic channels in June. Curiosity Español, Curiosity Animales, and Curiosity Motores. In regard to advertising, we now have commercial relationships with over 20 key partners and platforms for our ad-supported content in PayTV, FAST and in AVOD. And we anticipate roughly doubling this roster of advertising platform partners in 2024. 
 While the bulk of our advertising-oriented revenue to date has been categorized as licensing revenue in light of the advances in minimum guarantees we negotiated, as our existing ad partners publish our content and as our new partners publish and promote Curiosity content, we will begin to generate increasing and more predictable revenues from our ad-supported content. 
 Additionally, as we generate more impressions in front of the paywall, we will benefit from the expansion at the top of our marketing funnel, which we believe will be helpful in moderating our paid marketing allocations. We've accomplished these objectives, we'll simultaneously rationalizing our cost base. Excluding the noncash expense inherent in content amortization, we cut our cost of revenue in half from Q1 '23 to Q1 '24, and we reduced G&A expense by about 30%.
 To reiterate, we believe we are now solidly situated to generate increasing positive cash flow and sturdy sustainable revenues that are increasingly predictable and reliable. In addition to guiding to greater positive cash flow and revenue in the second quarter, we believe our dividend program, which is being paid from surplus cash, further underscores our positive trajectory for 2024 and beyond. 
 At the core of Curiosity is, of course, the creation and distribution of premium factual programming that both inspires and informs. In Q1, we released original series and specials across a range of genres and formats, including Science For Evil Geniuses, an irreverent real-world test of super villain Science starring Game of Thrones actor Paul Kaye; fourth season of 4th And Forever; following the Desoto Eagles' quest to recapture another Texas State title; The Invention of Surgery, an unflinching look at the pioneers who transformed medicine from a primitive art into a sophisticated and successful science; The Art of Seduction, an expose of the secret powers of some of history's most influential characters; and Believe, a beautiful look at the origins, traditions and festivals of the world's 5 biggest religions and the challenges they face today. 
 We celebrated the ancient world with Ancient Egyptian Week. And on May 9, we kick off Jaws & Claws week. Animals that can eat us are interesting to nearly all of us and interesting to people everywhere, as our dinosaurs and the compelling creatures that preceded us. 
 In closing, I'm happy to reinforce that we ended the quarter with $39 million in cash and equivalents, $1.2 million in adjusted free cash flow and 0 debt. We believe our strong balance sheet and projected 2024 positive cash flow are major competitive advantages in the current environment. Moreover, we continue to believe that our global appeal, our direct subscriber base and direct platforms, our broad and deep content library of over 17,000 evergreen titles, our multiyear third-party agreements, our public company currency and our rationalized cost structure are uniquely favorable attributes that provide us with sustainable long-term strength and exceptional flexibility. 
 I'd now like to pass the baton to my good friend and colleague, Peter, about whom I will have more to say at the conclusion of his remarks. 
Peter Westley: Thanks, Clint. As Clint said, our Q1 performance was a true milestone event for the company. Driven by strong execution, our first quarter revenue came in within our guidance range, and our adjusted free cash flow came in above the high end of our guidance range. Our adjusted free cash flow of positive $1.2 million, which represented our sixth straight quarter of sequential improvement in this metric, was the first positive quarterly adjusted free cash flow in the company's history. This accomplishment is particularly noteworthy given the cash flow losses experienced by so many other companies in the video streaming sector. 
 First quarter adjusted EBITDA improved by $3.5 million compared with the prior-year quarter, while adjusted free cash flow improved by $7.5 million year-over-year. Getting into the details. Revenue for the first quarter of 2024 was $12 million compared to $12.4 million in the prior-year quarter. The year-over-year change was primarily driven by decreases in content licensing and bundled distribution.  Despite this decline in revenue, we were able to improve our adjusted free cash flow from negative $6.3 million in the prior-year quarter to positive $1.2 million in this year's first quarter as a result of our intense focus on the bottom line. 
 Turning to the breakout of revenues. Our largest revenue category this quarter was our direct business. Direct revenue came in at $9.5 million, up 11% year-over-year and 4% sequentially as we continue to see the benefits of the price increases we put in place last year. Content licensing, which was our second largest revenue category this quarter, generated $1.2 million of revenue compared with $2 million in the prior-year quarter. 
 I'd like to make a couple of comments about this comparison. First, it's worth noting that last year's content licensing figure included $1.2 million of presales transactions compared with $0.3 million of presales in this year's first quarter. As I've mentioned in prior calls, presales are 0% gross margin transactions for us, so this decline in revenue does not reduce our profitability. 
 Second, our main focus in content licensing is on our positive gross margin library-related transactions. In Q1 of 2024, we had approximately $900,000 of these transactions, an increase of 6% compared with the first quarter of 2023. Our next largest revenue category in Q1 of 2024 was bundled distribution, which generated $1.1 million of revenue, down from $1.5 million in the prior year's first quarter. Bundled distribution is a challenging revenue stream for us right now, which is reflective of the pressures being felt in the linear pay television business worldwide. 
 While we do continue to add new partners, we also occasionally have situations where we do not renew agreements or where our affiliate fees are revised as contracts come up for renewal in response to the financial pressures that our distribution partners face. Our total barter revenue in each of the first quarter of 2023 and the first quarter of 2024 was approximately $200,000. 
 Turning to our expenses. Content amortization in the first quarter was $5.2 million, an 11% decline from the $5.9 million we recorded in the prior-year quarter. We expect content amortization expense, the largest component of our cost of revenues, to continue to decline going forward and ultimately converge with the lower level of new content investment that we require now that we've achieved critical mass in our content library. 
 First quarter gross margin of 43.8% increased from 27.3% in the prior-year quarter, driven by significant reductions in our cash-based cost of revenues, which are a result of our ongoing cost reduction efforts. One other metric that we find useful in assessing our profitability is our gross margin, excluding content amortization. This metric really gets at the cash cost of delivering our services across all of our revenue streams. That figure was 87.2% in Q1 2024, which compares very favorably with 74.6% in the prior-year quarter and 80.2% in the most recent quarter, Q4 of 2023. 
 Our first quarter advertising and marketing expense of $3.1 million was, essentially, flat year-over-year, and we continue to exercise discipline and analytical rigor in deploying our customer acquisition dollars. G&A expense during the first quarter of 2024 was $5.8 million -- of $5.8 million was down $2.3 million or 28% year-over-year as we're seeing the benefits of our planned spending reductions and workforce optimization efforts.
 Moving back to profitability. Adjusted EBITDA loss was $2.8 million compared to an adjusted EBITDA loss of $6.4 million in the prior-year quarter. Adjusted free cash flow in the quarter was positive $1.2 million compared with negative $6.3 million in the prior-year quarter. We believe our overall balance sheet remained in great shape with $95 million of assets, $28 million of liabilities and book value of $67 million or approximately $1.26 per share. We ended the quarter with total cash, cash equivalents and restricted cash of $38.9 million and no outstanding debt. 
 Moving to our second quarter guidance. We expect revenue in the range of $12 million to $13 million and adjusted free cash flow in the range of $1.5 million to $2.5 million. Finally, as you may have seen in our press release, I would note that this is my last earnings call as CFO. The Board is named Brady Hayden, CFO effective May 31. Brady has been with us since last June in the role of Controller, and I'm confident in his abilities to step up into the CFO position. We will work together to ensure a smooth transition, and I'll return to my prior role as a senior adviser to the management team of CuriosityStream beginning in June. 
 As I look back, I'm tremendously proud of all that we've achieved over the last 2 years. It's been a real pleasure to work with my good friends, Clint, Tia, Rob and the rest of the team at the company. With that, I'll turn the call over to Clint for some closing comments. 
Clint Stinchcomb: Appreciate that, Peter. I first met Peter in 1986 when he was an undergraduate adviser to one of my closest friends in a freshman dorm at our Alma Mater. The maturity and leadership qualities that were requisite for Peter Westley, the UGA, are the same that we have called upon and appreciated here at CuriosityStream. Most everyone else here met Peter in 2018 when he invested alongside our former Board member, the late and great, Dick Bloom, and became a Board observer in his capacity as an adviser to Dick. 
 Peter's deep innate curiosity as well as his affection for our business naturally led us to engage him more formally as a consultant and then to enlist him as our CFO about 2 years ago. During these 2 years, Peter loaned the steadiness and cogency I've always enjoyed to our finance function and to our leadership team. I want to thank him for both his service in that capacity. It's been a privilege working shoulder to shoulder with Peter on the day-to-day work of our getting to cash flow positive. And on behalf of our Board and the entire team, thank him for the maturity, the leadership and the dedication he has offered us. And to say, we look forward to more of the same as Peter returns to consulting status with the company, offering us continued access to his mighty brain and collegial demeanor.
 Since Peter's arrival in May of 2024, comparing the 12 months we just completed in March with the comparable period 2 years ago, we've grown our direct revenue by 17%, while moderating our overall marketing spend, cut our annual G&A expenses by more than 25%, improved our cash flow from operations by more than 85%, enjoyed 6 straight quarters of sequentially improving adjusted free cash flow, and we've begun paying a dividend. 
 In closing, let me not forget to thank Peter for bringing us Brady Hayden, who currently serves as Controller and whom the Board has named CFO upon Peter's departure, May 31. It's been such a pleasure for me getting to know and work with Brady over the past year, and I know you'll feel the same. Brady's experience in the day-to-day operational and other requirements of a public company finance function. He's also roll-up-the-sleeves, hard-working, get it done right, professional with a collaborative style that we, his colleagues, have already come to respect, appreciate and rely on. So thank you, Peter, and thank you, Brady. I'm really excited for the chapter ahead. 
Andrew Lata: With that, operator, let's open the call to questions. 
Operator: [Operator Instructions] And your first question comes from the line of Jim Goss with Barrington Research. 
James Goss: I was wondering if programmatic gives you the opportunity to consider an ad-lite option on the core subscription services, where you might not be able to have an ad sales staff to be able to do it on your own? 
Clint Stinchcomb: I think it's a great question, Jim, and I really appreciate it. We've certainly looked at that, and it's something that is always under consideration. But we've made the calculation today that we believe, without that, by putting our content to work on the larger AVOD platforms, putting our content to work on the larger FAST platforms and putting our content to work, unlocking advertising with our PayTV channels, we think that, in the aggregate, that will be better and higher revenue and higher margin approach without disrupting our continued subscription growth.
 But you make a great point about programmatic. It's a way to get into the advertising business without having a massive staff. At the same time, another way to get into it is through working with good partners. And so in regard to advertising, earlier this year, we began working on a commercial partnership with Estrella Media (sic) [ Estrella MediaCo ], one of the largest Hispanic U.S. media companies. 
 Estrella owns and operates TV stations, radio stations, TV broadcast networks, 4 FAST channels and local and syndicated radio shows. Samsung announced last week, Samsung, one of the largest SaaS platforms in the world, that they're going to launch 3 of our Hispanic U.S. FAST channels, Curiosity Español, Curiosity Animales, and Curiosity Motores. 
 And the beauty of this relationship is that Estrella, as an expert in the Hispanic ecosystem, they'll manage the ad sales. They've got a robust ad sales organization, tightly enmeshed in the U.S. Hispanic brand and agency world. We've got a track record of selling the channel inventory that they have, Jim, at CPMs that are 3 to 4x greater than the CPMs FAST and AVOD platforms generally generate from programmatic sales. 
 So this type of relationships is an absolute no-brainer, makes sense for all the parties. And I think it's just another really good example of the broad appeal of our content and the opportunities for brand extension, promotion and content monetization that aren't always obvious. Thank you, Jim. 
James Goss: Okay. And one other about with Warner Bros. Discovery, blending the Discovery networks increasingly into  Max, does that open up any further opportunity for you competitively? 
Clint Stinchcomb: Another great question, Jim. Thank you for asking that. I think so. You probably saw, just last week, some of the big announcements. Comcast launched all -- dropped all of the Bally Sports, RSN, Fubo, dropped all of the Discovery and Turner Networks. So yes, these do create opportunities for us. They create opportunities for us because, one, we have factual channels that are operating around the world today. And through our 17,000-plus titles that we have in our library, we're able to put channels together pretty quickly to meet distributor needs. 
 So as you look out over the rest of this year, you'll see channels emerge from us like a Curiosity Science channel, like Curiosity History channel. And again, we announced, last week, with Samsung, 3 U.S. Hispanic channels that, obviously, we have the same content in on the English language side, Animales, Natural History and then Motores, which, largely, automotive cars, boats, bikes and planes. 
James Goss: Okay. And one final one, with the pricing change that you made that seemed to go over well enough and allowed to increase the revenue base, do you think you might now be in a position to edge prices higher over time and the subscription service on a more gradual basis, maybe less aggressively than the first one was that maybe set a pattern that might give you that upward bias? 
Clint Stinchcomb: I'll take an initial shot at that, and then I'd like defer the second part to my good friend, Peter. I think -- we continue to believe, Jim, that we have -- that we're in incredible value exchange, CuriosityStream, flagship channel, subscribe to it for $4.99 a month or $39.99 a year. That's a heck of a value. At the same time, we're learning more because we also have what we call a Smart Bundle, which includes some additional factual type networks includes, One Day University, which we own, of course. It includes SOMM ,which is wine. It includes Kidstream, which is an incredible kids channel that features some of the best and most well-known kids educational heroes. And that's priced at $9.99 a month or $69.99 a year. 
 So through that, we're definitely learning a lot, and we do think that -- we do think that while we're an incredible value exchange today, that over time, if indeed, we need to raise our rates. We have a lot of value to give in exchange for that. But if I could, Peter spent a lot of time on this, and I'd love to get Peter a chance to talk about it as well. 
Peter Westley: Yes. No, I think it's something that we'll continue to look at as the competitors continue to kind of raise the pricing ceiling, I think that does open up opportunities for us to think about it. To Clint's point, we did not raise the pricing on the Smart Bundle at the time we raised it on the core service. So I would think that the most likely next price increase, to the extent that there was one, would probably be on that Smart Bundle package, kind of depending on what's going on and what's included in the mix there. But we think both the core service and the Smart Bundle package remain just tremendous values in the marketplace, given what you get for the low price that you're currently paying. So we do think there is long-term opportunity there. 
James Goss: All right. Thank you very much. Appreciate it. 
Operator: That concludes our question-and-answer session. And I will now turn the call back over to Clint Stinchcomb for closing remarks. 
Clint Stinchcomb: Thank you, everybody, for attending. 
Operator: And this concludes today's conference call. Thank you for your participation, and you may now disconnect.